Operator: Good afternoon. My name is Tania  and I will be your Conference Operator today. At this time, I would like to welcome everyone to the Virgin Galactic's Third Quarter 2021 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. . Thank you. Hosting today's conference call will be Seth Zaslow, Vice President of Investor Relations. As a reminder, today's call is being recorded. I will now like to turn the conference over to Mr. Zaslow. Please go ahead.
Seth Zaslow: Thank you. And good afternoon, everyone. Welcome to Virgin Galactic's third quarter 2021 Earnings Conference Call. On the call with me today are Michael Colglazier, Chief Executive Officer. And Douglas Ahrens, Chief Financial Officer. Following prepared remarks from Michael and Doug, we will open the call for questions. Our press release was issued about an hour ago and is available on our Investor Relations website. As this slide presentation that will acCompany today's remarks.  Let me refer you to slide 2 of the presentation, which contains our Safe Harbor disclaimer. During today's call, we may make certain forward-looking statements. These statements are based on current expectations and assumptions. And as a result, are subject to risks and uncertainties. Many factors could cause actual events to differ materially from the forward-looking statements made on this call. For more information about these risks and uncertainties, please refer to the risk factors section of the Company's Form 10-K filed with the Securities and Exchange Commission and other documents filed by Virgin Galactic from time to time.  Readers are cautioned not to put undue reliance on forward-looking statements, and the Company specifically disclaims any obligation to update the forward-looking statements that may be discussed during this call. Please also note that we will refer to certain non-GAAP financial information on today's call. You can find reconciliations of the non-GAAP financial measures for the most comparable GAAP measures in our earnings press release. With that, I would now like to turn the call over to Michael.
Michael Colglazier: Thanks, Seth. Good afternoon, everyone. This has been an incredibly busy and important quarter for us. In July, we threw our first phase flight with a full crew in the cabinet. There's a great achievement for Virgin Galactic and a global cultural moment with tens of millions tuning in from around the world. In August, we began selling spaceflights exclusively to our space fair community. A group of early hand-raisers, that reserve the right to be first in line. Response from this group has been fantastic. And in October, we began our fleet enhancement period, to meaningfully improve the durability, reliability and predictability of our vehicles and enable high cadence commercial service. Before I walk you through the details on these updates and other important developments during the past 3 months, I'd like to take a step back.  I've been CEO for a little over a year now, and I've spent that time listening, analyzing, and identifying the adjustments needed for us to progress against our long-term goals. We've made several changes over the last 9 months in this regard. We've aligned people and processes to focus our efforts on long-term scale and profitability, and this new focus is enabling our transition from a prototyping space innovator to the global-scaled commercial operation we are becoming. I made key strategic hires, including a new CFO, a new president of aerospace, and new heads of engineering, people, and IT. All to ensure we have the right leaders and systems in place to realize our vision.  And over the past year, we strengthened our Balance Sheet with two capital raises, giving us approximately $1 billion on hand to design and execute our long-term plan. I'm confident that these changes and those will talk about today have placed us on the correct path to launch commercial operations and achieve our long-term vision. We are building a new industry from the ground up. All of you on the call who follow the sector no than aerospace as a complex endeavor and to grow to 400 price per year and multiple space ports. Weakness manufacturing operate efficiently and predictably.  And while unexpected setbacks are a normal part of aerospace, we can and will do more to anticipate them unless or their impact on our . I'd focused the Company on 3 primary work efforts and they all ladder up to commercial service at scale. That is, fleet readiness, fleet expansion and commercial strategy and execution. On fleet readiness, we are beginning our vehicle enhancement program. This will be a game changer in terms of predictability, durability, and slight rate capability.  More on that in a moment. At the same time, we are planning for the expansion of our fleet with our Delta Class spaceships and next-generation and other ships to be known demand for our product to support our global ambitions. And we're developing our customer base for commercial service, maintaining a strong and engaged pipeline of future astronauts. While continuing to refine our consumer experience. We are executing on all three strategic pillars simultaneously. The work that's been done to align our organization, strengthen our balance sheet, and ensure we have the right leaders in place will enable us to execute successfully.  The coming months will continue to be busy for our Company and for commercial space more broadly. Our peers, like us, continue to pass important milestones, and as I've said before, this is good for us, it fuels demand and it normalizes the concept of space travel. At the same time, we are building something very different. We fly spaceships. They are visually amazing, they are purpose-designed for safety and experience, and they are distinctly different. Our experience is different. We focus on the journey and the memory, not just on the ride. Our future astronaut community is different, and all of these differences enable us to build a business for the long term. Turning to Slide 4, I'm going to start with an update on commercial sales.  I will follow with an overview of our enhancement program and near term timelines and close with our fleet expansion plans, and then I'll turn the call over to Doug, who will provide a financial update. Moving to Slide 5 and our commercial sales efforts. We have opened sales to our early hand-raisers and we are selling tickets ahead of the pace we had planned. The pricing strategy we announced last quarter has been well received. Our private Ascot sales process is effective and efficient, and it is architected to be scaled.  Given the newness of our product, we start by broadly showcasing the awe-inspiring, aspirational value of our experience. And we capture top of the funnel interest with leading CRM tools. Unity 22 accomplished this in brilliant fashion and brought tens of thousands of requests for information on our product. After filtering this large demand in a highly qualified sales leads, we convert even the signed contracts via one on one sales discussions. We then onboard our new customers into our unique future astronaut community. With regarding sales pace, we plan to onboard new future astronauts ahead of it in conjunction with the growth of our fleet. For the current sales cycle, we are targeting to have our first 1000 future astronauts confirmed by the startup commercial service.  We've tested our sales process over the last 2.5 months with their Spaceport community. As a reminder, this is the group of early hand risers who in 2020 placed a modest, fully refundable deposit of a $1000, to reserve the right to be offered reservations when they first became available. It's worth noting that these deposits were made before we announced our updated ticket price. The early sales indicators from this space fair group have been strong. Since September, spaceport purchased approximately 100 seats at our new pricing of $450,000 per seat. Each contract includes a $150,000 deposit, $25,000 of which is non-refundable.  We believe these results from a relatively small group that had little pre -qualification showed the incredible strength and appeal of our  and our membership community. They also indicate the significant value that people recognize in our product at current price points. We plan to close out sales efforts with our initial space fair group and other early hand-raisers before the holidays, Beginning in early Q1, using a similar filtering process with the more than 60,000 people who originally inquired about flight information, we will offer the remaining slots to become 1 of our first 1,000 astronauts.  The overflow demand from this group will be channeled into a new space fair program, whose members will be given first access to the next chance of spaceflights when they are made available. As we've said many times, we know that traveling to space is perhaps the most meaningful journey that can be experienced. Preparation and anticipation, substantially deep in the impact of transformational experiences, which is why Virgin Galactic focuses on the entirety of the journey, not just the space flight. This distinctly Virgin approach offers future astronauts a community with access to unique and exclusive experiences that started the moment of sale, continued during the buildup to the flight, and then extend long after.  Our intention is to always have a committed group of future astronauts that exceeds our near term capacity, with a vetted list of space slayers at the ready to convert ahead of new tranches of tickets becoming available. Our private astronaut market, while the most visible, is one of the three markets we are built to serve. The others being micro-gravity research and suborbital training for professional astronauts. The pricing strategy we announced last quarter reflects this diverse offering and is proven effective across all markets. We continue to field inquiries for reservations across the world, including from governments and scientific researchers. Shifting now for our flight test and ship enhancement programs on slide 6.  The Unity 22 flight was important for testing our customer experience. There is important or jumped starting our commercial sales process and perhaps most importantly, it allowed us to sell the dream. The photos is Theresa, Collin,  and Richard cheering down at earth. But that look of all in their faces said at all. It's clear that it was a transform and I've experience for them and prove to me that the products we're offering is unmatched. Flight was watched by tens of millions of people around the world who wanted to share and the experience to our live stream. That's the power of what we're doing.  Our in-flight, there is a significant amount of media coverage on a FAA investigation into an airspace deviation that we failed to communicate in real-time. We were at a flight test program and testified is designed for constant learnings, improvements. We learned, we addressed the learnings, and we move forward as we've done in this case. Since much of the coverage and this topic had the potential to be misconstrued. I want to address it is clearly and concisely  Our pilots anticipate plan and training for a range flight conditions and acceptable flight pass to take our ships to space and back safely.  Flight conditions during Unity 22 led to a flight path in line with our training and procedures, that reached basis planned, with a less steep climb to space. On a glide back to the runway, our space should briefly left our previously permitted airspace. This is a scenario that requires notification to the FAA. While the FAA is always in our control room during flights, our flight test procedures did not have a specific protocol for mission control to communicate the situation to air traffic control in real-time and this required rectification. We worked diligently and in full partnership with the FAA to identify a solution that was approved by the FAA in September and which concluded the investigation.  As depicted on Slide 7, the solution included the expansion of the protected air space for future flights, providing room for a variety of future flight trajectories, including the trajectory that was flown by Unity 22. We also implemented enhanced communication protocols specific to our space nights to ensure mission control relays notifications to FAA air traffic control in real-time. These updates to our air space and notification protocols has strengthened our preparations for the commercial launch of our space flight experience. Moving to slide 8 in our plan modifications for even Unity. These enhancements are designed primarily to meaningfully increase the flight rate capability of our original shifts.  These changes will favorably impact the business for years, as they allow us to work through our backlog of demand and unlock the routine access to space as part of our value proposition and business model. On to take a moment to talk through the enhancements being made to each vehicle. The majority of modifications will be performed on our Mothership, Eve. We recently flew Eve from Spaceport America in New Mexico to our manufacturing facility in Mojave where work has already begun. And just set in the side, the picture you see here on Slide 8 is a real shot that was taken with a long lens by a Company fan watching Eve 's recent flight from New Mexico back to Mojave. It's a beautiful reminder of just how elegant and aspirational our space flight system is.  As shown on Slide 9, Eve 's enhancements will focus on 3 areas: First, we're modifying the center wing and launch pilot. This area is challenging to inspect, and we are changing the design to a more robust structure that will greatly reduce the frequency of required inspections. Second, we plan to replace the horizontal stabilizers or 8 steps located at the back of the vehicle. Third, the body of work to upgrade our avionics and mechanical systems and strengthened various areas across the ship to reduce the volume of regular inspections and increased flight Keets. These modifications will increase the service life for the vehicle overall. The combination of these efforts subject to testing and verification.  We'll see us target Eve to complete 100 flights between major maintenance inspections. Up from the current interval of 10 flights between inspections. While Eve is not flying, we're taking the opportunity to enhance VSS Unity with those same goals in mind. The program of work is designed to reduce the amount of unplanned maintenance by reinforcing, upgrading, and replacing various joints and components located throughout the ship, and by reducing how often we need to inspect these parts. As with Eve, the culmination of these efforts will be improved flight frequency, less maintenance, and longer service life.  Subject to testing and verification, our goal is a 4 to 5 week turnaround for Unity. Once our enhancement program is complete, we will validate the upgraded vehicles through appropriate testing and begin commercial service. By 10, depicts our expected flight schedule following the enhancement program. Will first fly Eve solo to validate the enhancements made to the shipping. In the second half of '22, Eve will then carry VSS Imagine to it's permanent home at Spaceport America. This is going to be an exciting milestone that will mark the first time we have 2 active spaceships and service. Unity should begin revenue flights, starting with research flights, and adding private astronaut flights in the fourth-quarter. VSS Imagine, will begin its flight test program in 22 applied flights.  And we expect Imagine to begin revenue spaceflights in the first quarter of 2023. Imagine we'll start with research payloads and then proceed to join Unity with private astronaut flights. As previously announced, we recently reordered our schedule and moved our research flight with the Italian Air Force to follow the enhancement program. Although this change does not have a material impact on the revenues or timing of commercial service, I'd like to touch on the reasons for the schedule shift. Our preparations for the enhancement program include durability testing on materials used within our vehicles to better understand and enhance their service life and readiness for commercial service. As part of this, we've been conducting lab-based tests to expand our database on material properties.  These tests help assess how certain structures could behave over their lifetime with an aim to improve flight rates by increasing the time between major inspections. One particular test bind a possible reduction in the strength margin of materials used to modify some specific joint. For clarity, we've not observed any damage on our shifts. However, to test this lag, we need further analyze these joint to determine what, if any enhancements, would be needed to further increase their strength and enable the flight interval objectives we are targeting. Given the time needed to complete this work, it was logical and beneficial to avoid delay of the enhancement program, by choosing to complete this work in parallel. We expect the required analysis. And if necessary, and the follow on modifications, will be completed within the schedule of the overall enhancement program. Turning to Slide 11 and fleet expansion.  As we've said, we are targeting a flight cadence of 400 flights per year per spaceport. To get there, we need to efficiently expand our fleet, and that means growing both our talent base and our footprint. To start, we're investing in a new engineering design and collaboration center. Our design and engineering team has been located at our facilities at Mojave. We have strong roots in Mojave. It has been a great facility for us and we will continue to maintain our presence there, but we also recognize that growing a business requires us to be in locations where we can access additional talent at scale.  We've made the decision to locate our center for design and engineering in the Southern la basin, for it is a strong aerospace quarter arrangements from El Segundo, all the way to San Diego. Just recently, we leased a location in the heart of this aerospace quarter that will serve as the primary hub for R&D, and the design and engineering of our new vehicles. Specifically, the Delta Class spaceship and our next-generation on M other ships. We expect to ramp up Engineering and Support team talent against these programs over the coming 3 quarters. I want to take a moment to talk about these next-generation vehicles, starting with the Delta Class. This is our production models spaceship, which is being designed to fly once per week.  Over time, we anticipate Delta Class vehicles will constitute the bulk of our flight capacity. We're in the concept design phase of this work, which is the most critical from an investment standpoint. While the concept phase is typically only 10% to 15% of the program's overall effort, the work in this phase usually determines around 70% of the total cost base.  Getting key design and manufacturing efficiencies built-in now is absolutely critical for the success of the program over the long-term. These decisions are being made by a cross-functional team of leaders, including engineers, manufacturing and maintenance experts, and pilots. In addition to the conceptual design work, we've been exploring options to house our Delta Class spaceship facilities, as we will need more space than is available at our Mojave factory. We've been in contact with multiple municipalities about locations and have received interest from at least 3 states. We expect interest to grow, as we estimate we'll be creating more than 1000 new jobs and are looking forward to the new opportunities and community relationships that our expanded footprint will bring.  As we add new spaceships, we will need additional mothership's beyond. Since the mothership relies primarily on airplane technology, which is industry standard. There's opportunity for us to benefit from third-party expertise for the majority of parts and fabrication. This will allow us to increase our speed-to-market and realize meaningful cost efficiencies without sacrificing quality or performance. We're in advanced negotiations on strategic relationship for the production of our new memberships.  And we will provide updates on our progress on both the Delta Class and next-gen mothership's from future calls. Regarding our second spaceship 3 vehicle, VSS Inspire. We're continuing to evaluate the most efficient path over. Our priority is commercial service and scale, and in the immediate term, we are directing our resources towards Eve, Unity, and Imagine, while simultaneously expanding our engineering team for the development of the Delta Class and next-gen membership. We'll update you on Inspire in future earnings calls. I will now turn the call over to Doug for financial update.
Douglas Ahrens: Thanks, Michael. And good afternoon, everyone. Turning to slide 12. Before I review the financial results for the quarter, I'd like to begin with a few comments on our broader financial strategy. As you heard from Michael, we continue to see enormous demand for our spaceflight services. To begin to address that demand, our objective is to expand our fleet efficiently. In the short-term, enhancement period is a critical element of that strategy. Increasing the flight rates and extending the service life of our current fleet, will provide meaningful benefits for years to come. We are pleased to be embarking on this essential phase of work as it brings us closer to the start of commercial service next year.  In addition, during this phase, we are completing the preparation of VSS Imagine, thereby adding a second spaceship to our fleet. In connection with the enhancement period, you'll see a noticeable increase in the Company's expenditures next quarter. As we will be actively working on multiple shifts concurrently, looking further out, we expect that the elevated activity level will extend into 2022 as we complete our planned enhancements. An elevated level of spending is also expected to continue in the second half of 2022 as we focus on expansion of our fleet, namely the development of the Delta Class and next-generation mothership.  We plan to scale our engineering teams, engage in supply chain, and develop tooling for these new vehicles. We are excited to be transitioning to this important phase in our Company's overall journey to scale up our capacity to meet the tremendous demand for our space flight services. We expect to share more details on these programs on future calls.  Our Balance Sheet remains an area of strength for us. We are well capitalized with cash, cash equivalents, and marketable securities of approximately $1 billion as of the end of the third quarter. Going forward, we will continue to evaluate opportunities to raise capital as we grow and scale our business. We plan to use a combination of cash-on-hand, revenue from commercial space flights, as well as future inflows of capital to fund our strategic objectives. Let's review our results for the third quarter. Free cash flow was negative $53 million compared to negative $59 million in the prior year period. And our guidance of approximately negative $65 million for the third quarter.  The variance to guidance was primarily due to a shift in the timing of the Unity 23 flight as well as the start of the enhancement program. Both of which resulted in lower spending than previously forecast. We also received higher-than-expected cash inflows from the sale of private astronaut reservations following the reopening of ticket sales. Looking ahead, we anticipate fourth quarter free cash flow in the range of -$85 to $95 million. The increase in spending relative to the third quarter is expected to be driven primarily by the increased activity I mentioned related to the enhancement period, as well as the work we're performing on the Delta Class in Mothership programmes.  Consistent with prior years, we also expect to incur certain public Company costs in the quarter. Turning to slide 13 an income statement. The generated revenue of $2.6 million in the quarter related to sponsorship activity from the Unity 22 space flight in July, as well as revenue earned under government contracts from progress on the completion of certain technical milestones related to payload services. Total GAAP operating expenses for the third quarter were $85 million, compared to $77 million in the prior year period. The increase in expenses was primarily due to marketing-related costs, attributable to the Unity 22 spaceflight and the reopening of ticket sales, as well as an increase in employee costs and non-cash stock-based compensation expenses.  These increases were partially offset by a decrease in contract labor and material costs associated with the development of our spaceflight system. Total non-GAAP operating expenses were $70 million, compared to $66 million in the prior year period. GAAP net loss for the third quarter was $48 million, compared to a loss of $92 million in the third quarter of 2020. The decrease in net loss was attributable to the change in the fair value of warrants, partially offset by an increase in stock-based compensation expense. Adjusted EBITDA was negative $68 million, compared to negative $66 million in the prior-year period. I'd like to now hand the call back to Michael.
Michael Colglazier: Thanks, Doug. Before moving to Q&A, I want to leave you with a few observations about our industry that reinforce why I'm so confident on our future. First, demand for space travel will outstrip supply for the foreseeable future. Second, we are truly differentiated in the sector. What others are doing is helpful, their success is good for the industry overall. But we have a different approach, not just to space flight, but to the entire consumer experience, right from the moment of sale. And finally, we're selling much more than a chance to hear from space. For that and alone is remarkable.  We've created a meaningful community and we continue to find that there's strong desire to join this continuing, as evidenced by our ability to convert our followers into future astronaut. It's an exciting time for the Company, Our long-term vision is strong. Our goals are clear, are making meaningful progress. With that, let's turn to questions. Operator, we're ready to begin the question-and-answer portion of the call.
Operator: Certainly. We will now begin the question-and-answer session.    As a reminder, if you're using a speakerphone, please remember to pick up your handset before asking your question. We will pause here briefly to allow questions to generate in queue. The first question is from the line of Oliver Chen with Cowen. You may proceed.
Oliver Chen: Hi, Thank you. Michael, as we look ahead, the supply-chain will be very important. What are some key aspects in terms of the priorities there and the the some of the bigger challenges flash opportunities you have as you formulate and construct a really robust supply chain and capabilities there. And on the balance of magic and logic here, on the magic side and the consumer experience, it sounds like the ticket sales were very well-received. What are your thoughts going forward as you think about the more broad consumer experience and how you will incorporate friends and family as well as thinking more broadly about pricing and opportunities? Thank you.
Douglas Ahrens: Thanks Oliver. To the first one on supply chain, I think there's 3 components of our space flight system. There's the mother ship, the spaceship, and our propulsion system. And our approach to each of those will heavily integrate the aerospace supply chain -- aerospace organizations within the supply chain. But in different ways. So for the mothership, we are actively pursuing a strategic relationship, both to kind of accelerate in advance the engineering and tooling development as well as the then manufacturing and assembly of that piece. Our mothership's as you are aware, are more of a standard aircraft piece. It's unique, clearly, but we can leverage supply-chain very well there. So that will be taking heavy advantage of the supply chain there and we're very pleased with the progress we've been making on that.  With our spaceships, we, as we scale now, have more opportunity to go into the aerospace supply system with greater volume. And that allows us to do more leveraging the supply chain, both for parts and for sub-assemblies and for -- some of those can be very large sub-assemblies along the way as it goes. So spaceships will also take heavy advantage there. And then propulsion, same thing. There's a deep material base and subcomponents in our propulsion system. We brought in a new leader of our supply chain business, Lisa. She's fantastic, great experience, started with Honeywell and has gone through aerospace supply chain for quite some time and she's really ramped -up and jump-started our efforts here.  As to the magic and the logic, we were very encouraged with the response from our space fair community. Like I said, they are wonderful people, who been along with us just for a little bit. But reasonably, little work on our part to do pre -qualifications of that group. And so to be around 100 spaceflight reservations from that group at the new price points, we just thought really showed the value of what we're doing. Now, you're talking about where we going on the consumer experience. We didn't bring much to talk about today, but we are parallel passing the -- we're generally looking at it as kind of a word of the astronaut campus. That we will be developing as a place where as we start to scale up with multiple flights in quick succession, where will the people will be preparing in the number of days before in the day after their flight.  That work is very exciting. We'll be bringing that forward in future earnings calls and embedded within that work, Oliver is parallel experienced tracks for friends and family to come in. We do expect the astronauts to bring friends and family. we do expect that that is kind of incorporated into the price point as they come along the way so that $450,000 price point includes the ability to bring some friends and family. And we think that is a smart business strategy as well, not only just to make the experience for the astronauts stronger, I think this is going to be the first people raising their arms saying I'd like to go next -- is having been through and seem what's happening up close and having the most of that. So good progress on that one and more to come in future calls.
Oliver Chen: Thank you. Best regards.
Douglas Ahrens: Thanks, Oliver.
Operator: Thank you, Mr. Chen. The next question comes from the line of Doug Harned with Bernstein. You may proceed.
Douglas Ahrens: Hi, Doug.
Douglas Harned: I wanted -- Hi. I wanted to first make sure I understood the demand side. So you had 600 originally and then you've added 100 since you went to the higher price point of 450K. But you said you've got about 60,000 expressions of interest. It seems, perhaps naively, it seems that, well, you could have filled up those last 300 slots pretty easily out of that. How does that work? Why is that not the case?
Douglas Ahrens: And how to think about each of them. And then generally, I agree with you. We are very positive and optimistic on filling the last thousand, which will be our first thousand versus service. So, the first thing we did was -- as promised, go back to a space, fair community,this is?100? qualifications as we discussed. And we effectively use that, not quite beta test. They used it to test our sales process, right? We have CRM Fools that we brought to bear against this. And on a fairly small audience population we test the kind of customer journey we would use to take that group into very highly qualified leads. And with those leads is where we've invested the time for -- are reasonably lengthy but still able to move in a fairly efficient path.  The conversion rates from the sales calls to actually committed space flight reservations was very strong. Another thing that we are pleased about along the way, so we like how our CRM mechanisms did the right level of filtering. And we saw that to great conversion from that going forward. Now, separate from that spacefare group, following Unity 22, we opened up kind of our interest list, just that. Just kind of raise your hand if you're interested in learning about the products, your spaceflight, I'm interested in flying to space.  We think many of those people want to actually make the trip with all of what's involved. But some of them, as they learn about the information, will probably be  the customer journey through the CRM mechanism, we can now apply that effectively at the 60,000 and bring back high-quality candidates to put the effort of our individual . So that's how we're doing that. The reason we are being purposeful on the pace, is each one of these people we onboard into our future astronaut community, and that's very, very important because this is where people will spend the time mentally and emotionally preparing for the spaceflight and we have the time to do it.  We know we've got this 8 to 9 months expansion or enhancement program in front of us. And we know we will be starting to fly up to converse service in the fourth quarter. That's what we're expecting. So we have time to do this. Well, that's why we started with this first group of space fairs. I will say what we do expect to your point. This is the 60 thousand people are going to likely have much more demand versus the remaining 300 or so, which we have left in our first thousand. And we will then take the overflow that 60,000 demand and funnel into a new space fare group. And that's the group we will give first access to the next tranche of ticket. So we're always going to stay active at the top of the funnel. But then released tickets in tranches so that we can put dedicated sales effort against this and always stay ahead of the pace.
Douglas Harned: And then if I can on the schedule, you've talked about for the next mothership for the Delta Class, Now, as I understood it before, the intent has been to do about 36 flights in 2023 and then have the Delta Class ready before 2024. Given the change in schedule that you you've talked about and also some of the things the new development center, it seems like you've got a lot to do here. How has that schedule changed default.
Michael Colglazier: Here we've really spent the last 9 months positioning the Company to be able to handle that work, both in the focus of the Company with  now it's we're prioritizing building up the teams to go after this, all of which is done in a way that we can move off of a, maybe a milestone focus, which is done during the prototyping phase  value over the long-term. So we're ready for the amount of work that is coming.  As to '23, what we've tried to give is, we expect Unity, which will be coming onboard for commercial service in the end of '22. We expect it to fly basically on a monthly basis. And then with Imagine, it will start its flight test program in the first quarter of '23. That will be using -- those will be revenue-generating is what we expect. But with research flights and then as we get into the second half of '23, we will flip Imagine over from research into private astronaut flights.  So -- and we think Imagine, we expect to run on kind of a twice a month, every two-week basis. So that gives you some ability to do some calculating on flight rate in?'23? providing guidance on the timing on the Delta Class. But what I would tell you is we expect the Delta program to be on par with other rapid aircraft development programs, same with the mothership there. So we're moving at pace. That's why you see us pulling down in new design center down in the Southern la basin out it's what's why you will see us ramping up our engineering resources. Why you see us expanding our supply chain with some strategic relationships right off the bat. All of these are to get this work going and done in strong order.
Douglas Harned: Okay, very good. Thank you.
Michael Colglazier: Thank you, Doug.
Operator: Thank you, Mr. Harned. The next question comes from the line of Kristine Liwag with Morgan Stanley. You may proceed.
Seth Zaslow: Hi, Kristine. Kristine, are you there? Maybe you're on mute. Operator, why don't we go to the next question and if Kristine comes back into the queue, we can come back to her.
Operator: Certainly. The next question is on the line. Kristine has joined the queue again, so Kristine, your line is now open.
Michael Colglazier: Hi, Kristine.
Kristine Liwag: Hi, can you guys hear me?
Seth Zaslow: Yes, we can.
Kristine Liwag: Hello? Michael, with the planned fleet expansion, can you just discuss the cash investment requirements for the Eve enhancement and the Unity enhancement, and the timeline of that cash cost?
Michael Colglazier: So I'll give just a note on what we're doing and maybe let Doug tick up any specifics behind it. But your seeing our spend going to a larger amount in the fourth quarter is kind of guidance we're giving. And that makes sense, right? We're working on multiple shifts as we go into this enhancement program. That enhancement program's going to carry itself out kind of in the manufacturing facility all the way to the first half of the next year.  So that's where you heard Doug sharing that we expect that elevated level of spend to continue into '22 and then as that's happening, we're of course also building up our design efforts, moving into tooling, moving into the early ways in which we're going to gut the Delta and the Mothership programs, have accelerated beyond concept and design and into those later paces. So that was the structural piece. I'll let Doug maybe talk anything further from a specific standpoint, you'd want to share, Doug.
Douglas Ahrens: I think it's important to think about the phasing of this work and we're really excited to be moving into this next chapter here with expansion of our fleet with the new Mothership and the Delta Class. But, yes, at the front end you've got the investment in NRE. That's the initial part, which is it's geared towards that first artifact there in the fleet and you see that investment that we then get average as we go forward because we now have invested that time in the design and then we make copies basically, as we roll forward.  So you've got sort of that front-end investments that pays dividends for years, but as Michael mentioned you got the NRE phase engineering base. The tooling gets going and you start to get into supply-chain development and then leading into the parts fabrication and assembly. So phase in that traditional order, but the front end will be mostly focused on reentry.
Kristine Liwag: I see. And maybe following up on VSS Inspire. From what I understood, you guys have the parts to build that spaceship already. What would make you -- what was the decision tree here in terms of building that or maybe going straight from Imagine to Delta?
Michael Colglazier: Sure. So we have about 85% of the parts of Inspire have been completed. And the priority for us is to get to commercial, that's our clear priority and first, in two areas: getting through this enhancement program, Imagine with the Mothership Eve, which will have greater capacity with it now. So that's one clear focus. Will be, as Doug mentioned, while we begun to go through an in our period here, then we're going to be making copies, right.  That's a production model space. And at a much higher rate of  on it, that was our  Along with the new Mothership that will carry that  those are the main priorities right now. And so then Inspire allows us an optionality. And so we're taking our time to assess when and where and how to go forward with Inspire. But we are clearly putting our efforts right now into those 3 legacy ships, as well as the future fleet.
Kristine Liwag: Great. Thank you very much.
Douglas Ahrens: Thanks, Kristine.
Operator: Thank you, Ms. Liwag. The next question comes from the line of Ron Epstein with Bank of America. You may proceed.
Ron Epstein: So just a -- maybe a follow-on to some of the prepared remarks. You guys mentioned potential future inflows like capital to help finance all those. How are you thinking about that? Convert? I mean, what are you thinking about?
Douglas Ahrens: I'll take that, Ron, so thanks for the question. So we're headed into an important phase of activity. Which is, I think going to provide some great catalyst for our Company. And we've got the enhancement program going on, getting us ready for commercial service. You've also got Delta and next-gen Mothership work going on to expand our fleet. So do you expect those to be good catalyst for our Company as we move forward.  Like now, keeping in mind, we have a billion dollars of cash and equivalents and so on, on the Balance Sheet. So that gives us a great runway for this work. I know you've got spaceflight revenue starting to kick in already, the deposits before we need to do that. But we have options. There's multiple ways to go about that, whether it's equity or debt, those are all available to us and we'll look at those more closely as we get to that point.
Ron Epstein: And then maybe just a follow on the supply chain. How are you managing that. In your production we're gonna be probably in a phase where all of similars basis will be ramping up or your hands will be ramping the business chip. Manufacturers with the ramping. How are you didn't manage? that does typically -- like any business, the big guys trying to get first dibs at the trough. So how do you think about that and how do you manage that risk?
Michael Colglazier: But I think it's  a lot of that goes to selecting your supply chain partners thoughtfully. And with supply chain partners that are excited and looking forward to diversify their business with things of what we're doing versus somebody who just really needs to focus on giant volume of commercial air. But there's a wide ecosystem as you're well aware in that category. Now in the management of that ecosystem, we intend to be extremely active. And as with most supply chain efforts, ensuring the quality and the partnership with those partners is really, really critical.  So we will be building our supply chain team to be present, both with the suppliers when they're large major pieces, as well as very intensive quality efforts on things that are more. We've seen great response in the supply chain for what we're looking to do and the volumes in which we're doing it there. But we just we'll be thoughtful and we have enough different options in front of us that we're not concerned I think to the question you're raising or Is they're just going to be no capacity in the aerospace supply area. We do think the economy's coming back. We do see aerospace coming back, but we still see plenty of supply and partners who are interested in working for us.
Ron Epstein: Got it. And then maybe just one last one. Given all the changes in the programmatics and what's going on, when do you expect to be cash flow positive?
Michael Colglazier: So the key to that will be really the ramp of the Delta Class  the real significant increase in our cash inflows, which that's kind of the point in time to think about.
Ron Epstein: Got it.
Operator: The next question comes from the line of Scott Forbes with Jefferies. You may proceed.
Scott Forbes: Hi. Thank you. Just to kind of -- to circle back to the demand side. You talked about some positive feedback around updated pricing, but has there been any impact or conversion from the flight delay and have you seen any meaningful change in the demographics of your customers?
Michael Colglazier: Let's see. First on delay, we have not seen -- I will call it any impact to our demand or really even to our existing base of future astronauts from the shift in schedule. And we're just in the movement of Unity 23, just for clarity, while we move the Unity 23 flight, that one individual flight, multi-month shift. The actual shift our overall program is deminimis. So we -- the Imagine will come onboard. The Delta Class isn't impacted by this  when Unity 23 is. So our actual building up of real flight capacity and movement of the future astronauts isn't impacted by this much at all.  So we haven't seen an impact from that standpoint. And then, I'm sorry, Scott, one was -- what was the second part of your question there? We are -- we're so early. We've had 100 people come in from the space fair group, and this was a group that was, I'd say on board and hand raising even before Unity 22 and our next outreach. So I will have to go through and sort the demographics of it, but it probably is more relevant as we then go through this next 60000 to kind of close out the first 1000 people. That's where I think we'll start to have enough data in front and we can bring some of that data back on future calls. So I think it's a good question.
Scott Forbes: And then one quick follow-up. I mean, you've been able to largely navigate through these issues as they arise pretty well and development phase. But from a overarching risk perspective, where do you see yourself on the learning curve as you kind of move towards unlocking this full-flight potential.
Michael Colglazier: This is, as I put, I think, even on the front slide at the beginning here, this is a really important period for us. And we talked about it as going from a prototyping space innovator, which is where this Company has been. And really  a global scale commercial enterprise, with a bit of  comes along with the requirements to  deliver in a more focused and more predictable fashion. You see the work we've done over the last 9 months.
Douglas Ahrens: So it's been building towards this. We focused the Company down on commercial scale. So, whereas as a prototype or -- the Company's really organized  just a very good example. We're taking a multi-month period here to take these ships to where they can be both  inspections off flight-by-flight basis. And that moves our  up, right? Those are long-term decisions. All of our focus is trying to move to decision-making on the Company to create value for the long term. And then we've taken that focus, added really strong leadership coming in. We have -- we're now adding to that.  So, this is the period where we're moving to commercial because we feel very confident in the technical underpinnings of our baseline system that was what that big first chapter was is getting that technical risk worked through. We feel very confident in how we're moving forward now at this phase. And that's time periods to basically kind of longer time periods to get the design of the Delta Class that we can now deliver those on cost effective basis that allow flow-through to happen on cash side so that we can really grow the business.
Scott Forbes: Thank you.
Michael Colglazier: Thanks, Scott.
Operator: Thank you, Mr. Forbes. The next question comes from the line of Michael Ciarmoli with Truist. You may proceed.
Michael Ciarmoli: Hey, good evening, guys. Thanks for taking the question. Maybe just a follow-up on Ron's line of questioning. On the supply chain and securing commercial partners, I think earlier you mentioned some NRE costs. Are you guys bearing all of these NRE costs and just how are you maybe negotiating contracts with some of these potential suppliers? I mean, are you basically farming out to potentially take on some risk?
Michael Colglazier: So I think there is -- we have some options in that approach and there's some choices there, and some of the supply chain can help accelerate our design. In that part, it is a unique Mothership. It does unique functionality. But it is less the core of our intellectual property around our spaceflight system. And so, we can take advantage of engineering partners, as well as tooling manufacturers, parts manufacturers, fabrication, assembly and all that, so that's on that one. On the spaceships, that is really core technology that we are really pleased to have.  We love the fact that we fly wings-based planes and we will maintain the engineering and design of that ourselves. But then, there's all sorts of opportunity around parts and sub-assemblies with that, and we will explore, even to the -- there are options we have around assembly as you carry that towards the final ends of the program. So a lot of choices in that, but the spaceship itself, I think you'll see us hold on to kind of the core IP around that through designed and  In the propulsion system, we have, I'd say probably in between those 2 things.
Michael Ciarmoli: Got it. That's helpful. And then just -- I think Mike, you'd mentioned 400 flights per year. Assuming the next class of ships. I mean, how many -- It seems like you need over a dozen ships to get there. Do you have a time frame in mind of when we get to 400 flights per year?
Michael Colglazier: We've said, generally, I think to reach that level we're going to need, like the words I've been using is, high single-digit, low double-digits. And that's obviously depending upon the turn of those ships. But we still expect the Delta Class to be 2 pilots plus 6 seats in the cabin.
Michael Ciarmoli: Okay.
Michael Colglazier: So that's the number we need when we are building the Delta Class program. We are planning to create the production line of that, if you will, with a large supply chain eating into that line, where we have multiple ships moving in parallel. And so,
Michael Ciarmoli: Got it.
Michael Colglazier: Getting the  started as we -- do you know what that looks like. But at that point, we will be moving multiple shifts through in parallel or some months apart as opposed to one ship at a time. And that will allow us to scale up reasonably quickly. That starts.
Michael Ciarmoli: Okay. Thanks a lot, guys.
Operator: Thank you, Mr. Ciarmoli. The next question is from the line of Austin Moeller with Canaccord. You may proceed.
Michael Colglazier: Hi, Austin.
Austin Moeller: Good evening, everyone. Considering that the Delta Class is intended to be the production series spacecraft, is there any planning going into that regarding upgrading the RocketMotor to raise the apogee above the Karman line or to increase the amount of time that you're actually in microgravity for the customers?
Michael Colglazier: I think there's going to be some fun things to watch when we start doing our spaceflights flights with spaceship 3B, right as it move through it. It was the trailblazers ship for us. And each time we flew Unity and expanded the flight envelope, we would make some of the adjustments along the way. And as is typical in flight test program like that, you end up not getting the structural components in the strength in exactly the place you want from the original design so that you end up over bolstering some areas of the ship that didn't necessarily -- get to areas that you didn't have originally. And so Unity kicks up a little weight over time as test. Imagine was able to take the strength in the places where we knew we needed question around apogee, I think will be pretty interesting to watch as Imagine goes. And then, taking all of that knowledge in too, it will only get better from there.
Austin Moeller: Okay. That's very  question on the glide cone warning during Unity 22. Was part of the decision, just given how late it was into the engine burn to proceed with ascent even with the glide cone warning, did the interest in burning up all the propellant before engaging in reentry and essentially in an unpowered glide descent,  propellant in the vehicle as you try to ?
Michael Colglazier: So our Unity 22 flight flew on a acceptable, perfectly working path to space and back again safely as you all saw. As I mentioned earlier up here, our pilots train a variety of flight pass. The flight conditions on that day ascended at a less vertical angle as it went up and so went further towards the edge of the glide cone coming back. The way our avionics systems work is, the lights come on to provide visual signals for the pilots, who are monitoring a variety of energy states of the ship all the way through, provide visual signals that -- their need to act. The particular light that came on that you're talking about was at the very end of the rocket burn and almost basically within the response time that you would be expecting, the last 3 seconds or so.  And so it was -- the pilots had already made the energy conditions and the trajectory modifications they wanted to make at that time and that took it successfully up to space, hit its apogee above the astronaut line and came back safely. As we tried to call out in the slide with the FAA, as we came down, we had not cleared the airspace in an area of section that the glide -- or that the ship came through at the end. And that was something that we needed to respond up with the FAA, which we have now done. But we were happy with the trajectory, we'd be willing to fly that trajectory again if needed.
Austin Moeller: Okay, great. Thank you, guys.
Douglas Ahrens: Operator, why don't we take one last question, please?
Operator: Certainly. Our last question comes from the line of Peter Skibitski with Alembic Global. You may proceed.
Peter Skibitski: Good afternoon, everyone. Thanks. Can you hear me? Can you hear me, guys? Okay. Great.
Douglas Ahrens: We can hear you.
Peter Skibitski: No, thanks, everyone. Sorry about that. Let me pick up the handset. Quick question for Doug. The elevated SG&A spend in the quarter, are we going to head back to a more normalized $40 million a quarter type spend as you head into 2022 or can the spend even decline next year, given the focus on R&D and CapEx through the enhancement period?
Douglas Ahrens: If we look at the most recent quarter, we did have some things in there that don't necessarily reoccur, like we did have some marketing costs around that Unity 22 flight. We also booked some  that don't reoccur and so some of those things you wouldn't see again. But there would be some growth in G&A into the future as we scale the rest of the business, but certainly not at the same rate. But I think you saw a couple of  it's not going to dramatically change the profile.
Peter Skibitski: Okay. I appreciate the color. If I could sneak one last one in. Just so we don't get too far out ahead of our skis on customer deposits, it looked like you guys in the quarter are just booking the $25,000 non-refundable deposit, so should we expect backlog basically to remain pretty flattish until we get to late 2022 or late 2023? Is that kind of the expectation?
Douglas Ahrens: Let me just clarify about the deposit. So we talked about the approximately 100 seats or space flights we sold reservations for. And then the deposits come in at $150,000 for those. But those have been over Q3 and then the first part of this quarter. So what you're seeing on our Balance Sheet just reflects what came in as of September, and there is a little bit of a lag from when we contract with somebody when the cash appears so you just have --
Peter Skibitski: So we should expect a bigger jump in the fourth quarter?
Douglas Ahrens: Yeah. It'll keep going because we're going to keep selling these spaceflights and we take in $150,000 per flight.
Peter Skibitski: Okay. Great. Thank you.
Operator: Thank you, Mr. Skibitski.
A - Douglas Ahrens: At this point, we'd like to thank everyone for your interest in Virgin Galactic and for joining today's call.
Operator:  third quarter 2021 Earnings Conference call. I hope you all enjoy the rest of your day. You may now disconnect your lines.